Operator: Ladies and gentlemen, thank you for standing by, and welcome to Allbirds, Inc.'s First Quarter 2025 Earnings Conference Call. All participants have been placed in a listen-only mode. After management's prepared remarks, there will be a question and answer session at which time instructions will follow. I would like now to turn the conference over to Christine Greany, Investor Relations. Please go ahead.
Christine Greany: Good afternoon, everyone, and thank you for joining us. With me on the call today are Joe Vernachio, CEO, and Annie Mitchell, CFO. During this call, we will be making comments of the forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about these risks, please review the company's SEC filings, including the section titled Risk Factors in our report on Form 10-Ks for the year ending December 31, 2024, for a more detailed description of the risk factors that may affect our results. These forward-looking statements are based on information as of May 8, 2025, and except as required by law, we assume no obligation to publicly update or revise our forward-looking statements. Additionally, we will be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of our non-GAAP measures to the most directly comparable GAAP measures can be found to the extent reasonably available in today's earnings release. Now I would like to turn the call over to Joe to begin the formal remarks. Joe?
Joe Vernachio: Good afternoon, everyone. Thanks for joining us today. We are pleased to report another quarter of progress on our path to growth and profitability. Our first quarter results were in line with our expectations on the top line and exceeded guidance on the bottom line. As we move through 2025, the foundational work we have done over the past year, including reducing our retail footprint, transitioning international markets to a distributor model, rightsizing inventory, and lowering costs, is now coming together with our efforts in product, marketing, and customer experience. Together, we believe these work streams will build momentum toward a meaningful inflection point in the back half of the year. Our refreshed product line will begin reaching the market in late summer and is expected to support our anticipated return to top-line growth in the fourth quarter. Early reads on our product and marketing initiatives give us confidence that we are on the right path. While our teams remain focused on executing our 2025 plans, we are also navigating an evolving macro environment driven by shifting global trade policies. Annie and I will speak to that more directly in just a few minutes. Before we get to that, I will walk you through updates on each of our three key focus areas: making great products, telling great stories, and creating an engaging shopping experience. First, product is our most important growth driver. The product engine is now fully staffed, sharply focused, and operating at a high level. When the first results of our work reach the market in the back half of the year, you will see a mix of reintroduced icons, refreshed favorites, and entirely new categories that position us for long-term growth. Our fall lineup is the strongest and most diverse we have ever assembled. It spans casual, elevated, and relaxed silhouettes, brought to life with modern design, unique materials, and the signature Allbirds comfort our customers expect from us. Callouts include updates on our 20 colors. Next will be the introduction of a new subcategory called Remix, products that feature materials made with ingredients otherwise destined for landfill. It is a strong expression of our ongoing commitment to sustainability, delivered through versatile design for everyday wear. Another first for Allbirds is a fully waterproof collection that looks amazing. We have designed a beautiful, versatile, and functional collection of shoes our customers have been asking for. We are also planning to introduce two new collections that we believe represent significant long-term growth opportunities. The first is what we are calling Elevated, shoes that bring sneaker-level comfort to more dressy and professional settings. Through carefully considered silhouettes, materials, and color choices, we are tapping into a clear and growing trend that will be represented in sneakers for men and flats for women. At the other end of the spectrum, we are responding to the rising desire for extreme comfort at home with a collection we are calling Relaxed, with styles that feel so great around the house that you cannot help but wear them around town. This introductory collection will be distinctly Allbirds in aesthetic and material. We are deeply committed to bringing new products to market because we believe it is essential to unlocking growth. Early validation in our Q1 results reinforces our conviction that when we deliver what our customer wants, it can drive meaningful and sustained momentum. A recent example is the Canvas Piper, a subtle variation on a silhouette we introduced last year, which quickly became one of our top sellers. Its success underscores the demand for clean, versatile, everyday sneakers. As well, our new utility pack in more rugged, functional design has performed well right out of the gate. Even with a relatively light flow of new launches, the percentage of sales from new products has grown steadily, rising from the high single digits in January to over 20% in March. We look forward to introducing a broad range of new assortments to consumers this fall and believe that they can be a meaningful driver of growth for our business. With all the new products coming, it is important that we keep a sharp eye on our inventory. We have taken steps to optimize our inventory position ahead of our upcoming launches. Initial buys have been conservative, and we are maintaining a disciplined approach to inventory management given the current macro environment. This posture allows us the flexibility to read consumer signals in real-time and lean into areas of momentum as we move through Q3 and Q4. Earlier this year, we began reintroducing the Allbirds brand through a mix of brand building, traditional, and performance marketing. At the top of the funnel, our Cards on the Table series hosted by Stanley Tucci has been a standout. When we spoke to you on our year-end earnings call, the series had just launched. Since then, it has generated over 25 million Instagram views, including 15 million unique viewers, and more than 1 million views on YouTube. On social, collaborative posts with partners like Stanley Tucci, Rolling Stone, and Carlos Sands have outperformed benchmarks, generating up to 100 times our average reach. This early success confirms the power of storytelling and the cultural resonance of the diverse voices featured. Just as importantly, they reflect Allbirds' core values and help re-anchor the brand with purpose and relevance. Building on that momentum, we are increasing the volume and range of content to support our hero products and seasonal launches in the months ahead. Still under the Allbirds by Nature banner, our messaging will reinforce four key attributes: comfort, style, quality, and sustainability. Comfort remains foundational, but we will also help consumers see how our products fit into a variety of real-life occasions, responding to a clear desire for more styling inspiration. Layering on strong proof points around durability and sustainability helps create a well-rounded story, one that can be told consistently over time. As we talked last quarter, we have been focused on optimizing our performance marketing strategy, and those efforts are beginning to show tangible results. In the initial four weeks, key e-commerce metrics improved meaningfully versus the prior year. CAC was down, new customer acquisition accelerated, and conversion rates were up. Together, all these efforts reflect a marketing strategy that is both emotionally resonant and commercially effective, designed to build long-term brand equity while delivering measurable impact. The final piece to the puzzle is creating a standout experience, whether customers shop with us online or in-store. Our efforts to elevate that experience are well underway. On the digital side, our website redesign is on track for a summer launch, featuring richer storytelling, more dynamic product detail pages, and a smoother, more intuitive shopping journey. In retail, we have been piloting a refreshed store concept at our Hayes Valley location in San Francisco. Updates to layout, fixtures, navigation, and visual merchandising have created a space that is warmer, more welcoming, and much easier to shop. These improvements require minimal investment but deliver outsized impact. Early results have been strong, driving increased engagement and higher daily sales. We are now rolling out this new format to two additional locations: our SoHo store in New York City and the Stanford Shopping Center store in Palo Alto. We plan to build on our key learnings and expand the concept around more stores in the coming quarters. Now turning to the macro environment. While the current tariff landscape adds complexity, our team is well-equipped to navigate these dynamic conditions, drawing on years of industry experience. With the majority of our manufacturing based in Vietnam, we are proactively managing potential cost of goods pressure through tighter inventory buys and ongoing evaluation of future price opportunities. At the same time, our growing international distributor business helps mitigate exposure to U.S. tariff impacts. Meanwhile, traffic and conversion across the customer landscape have been reported as choppy since early April, and we have seen similar trends. Near-term consumer behavior is difficult to predict, and supply chain disruptions may occur as the broader market adjusts to new tariffs. Despite this, we remain cautiously optimistic, mindful of the burden on consumers yet encouraged by our strong execution and the positive early indicators I just talked about. Assuming we do not see a material shift in the macroeconomic environment or broader consumer demand in the coming quarters, we believe we are positioned to return to top-line growth in the fourth quarter of this year. We are grateful to our teams across the company for their resilience and commitment. We simply would not be approaching this next chapter without their contributions. We also thank our shareholders for their continued support and remain focused on building long-term value. Now I will turn the call over to Annie to review the financials.
Annie Mitchell: Thanks, Joe. Good afternoon, everyone. We continue to deliver strong execution in Q1, with top-line results that were in line with our guidance and adjusted EBITDA that exceeded our expectations. Net revenue for the quarter totaled $32 million, slightly above the midpoint of our guidance. Similar to what we have seen across the consumer landscape, the quarter is generally choppy, with some improvement in sales in March compared to the first two months of the year. Q1 gross margin was 44.8%. That is down 210 basis points to last year, but ahead of our expectations. Let me unpack that for you. First, as we expected, there was notable pressure on Q1 gross margin due to a higher mix of sales from our international distributors and the sunsetting of products as we prepare for our new assortments in the second half. In addition to these factors, gross margin was also impacted by higher per unit freight costs in our direct business. These drags on margins were partially offset by approximately $2 million of gift card breakage, which translated to a benefit of about 400 basis points in the quarter. From a tariff perspective, we have multiple levers we can pull to protect gross margin. Based on the assumptions in our baseline scenario, we continue to expect that we can deliver gross margin in the mid-forties for full year 2025. This assumes a continuation of the 10% incremental tariff on Vietnam goods following the ninety-day pause. We are confident that our scenario planning and the mitigation tactics we develop leave us prepared to navigate the evolving tariff landscape. First, we have reduced our initial inventory purchases for fall 2025 as well as our buy plans for spring 2026. We will have the flexibility to chase into goods as needed. Next, because the majority of our product offerings will be new starting this fall, we have the ability to go to market with modestly higher prices. Lastly, in addition to these factors, overperformance on the bottom line in Q1 provides us with added flexibility to navigate the current environment. Turning now to expenses. Our teams continue to exercise strict cost control. SG&A was down more than $14 million for Q1 2024. The year-over-year improvement is attributable to lower occupancy and payroll costs and our transition to international distributors. During Q1, we closed five retail stores and had one additional closure subsequent to quarter end. That brings us to a current U.S. store count of 24. Marketing expense in the first quarter totaled $12 million or 37% of revenue. That is up year-over-year on both a dollar basis and as a percentage of revenue. The increase is primarily due to planned investments related to our upper funnel marketing initiatives. Hopefully, you have all had an opportunity to enjoy our Cards on the Table series. As Joe mentioned, we are quite pleased with the initial traction we are seeing, including lower customer acquisition costs and higher returns on spend. We continue to expect that marketing expense on both a dollar basis and as a percentage of sales will increase on a full-year basis compared to 2024, with variances quarter to quarter. Q1 adjusted EBITDA loss of $19 million reflects a year-over-year improvement of 11%. This exceeded our guidance range by about $5 million, primarily reflecting better-than-expected gross profit and strict cost control. Moving to the balance sheet. At quarter end, we had $39 million in cash and cash equivalents and no outstanding borrowings under our $50 million credit facility. We are pleased to be operating from a strong financial position, with the runway to continue executing against our product and marketing plans. We ended the quarter with $43 million in total inventory, down 29% versus the year-ago period. We are pleased to be in a healthy position and remain focused on carefully managing inventory as we prepare for our new assortments arriving in late summer. As we navigate the tariff landscape and ongoing macro challenges, we are maintaining the flexibility to read and react. During the quarter, operating cash used totaled $28 million, reflecting peak seasonal working capital needs as well as strategic investments to support the launch of our marketing campaign. Turning now to guidance. Given the evolving global trade policy and how that may impact consumer sentiment and spending, the outlook we are providing today assumes two key factors. One, the 10% incremental tariff rate on Vietnam continuing through the end of the year, and two, no material worsening of the macroeconomic environment or broader consumer demand trend. We continue to expect the year to be second-half weighted, driven by the lineup of new product offerings coming to market beginning in late summer, supported by our full-funnel marketing initiatives. We are reiterating our full-year 2025 outlook as follows. We expect net revenue in the range of $175 million to $195 million, which includes approximately $18 million to $23 million of negative impact associated with our distributor transition and store closures. For added perspective, we anticipate the impact will be spread evenly across the first three quarters, with slightly less impact in Q4. Stripping out the impact of those structural changes, net sales are expected to grow approximately 10% at the midpoint versus 2024. Looking at the top line by region, we expect U.S. net revenue of $145 million to $160 million and international net revenue of $30 million to $35 million. Full-year adjusted EBITDA loss is expected to be in the range of $65 million to $55 million. We are also introducing guidance for the second quarter. Net revenue is expected to be in the range of $36 million to $41 million, down 25% at the midpoint versus the prior year. U.S. net revenue is expected to be $26 million to $30 million, and international net revenue is expected to be $10 million to $11 million. Adjusted EBITDA loss is expected to be in the range of $19 million to $16 million. We are continuing to watch the consumer and will respond accordingly. Importantly, we remain on track to bring our updated assortment to the market beginning in late summer and look forward to keeping you updated on our progress. We appreciate your time this afternoon, and we will now ask the operator to open the call to questions. Thank you.
Operator: To be announced. To withdraw your question, please press 11 again. We ask that you limit yourself to one question and one follow-up. And the first question will come from Janine Stichter with BTIG. Your line is open.
Janine Stichter: Hi. Good afternoon. Annie, was hoping you could help us with the shape of the gross margin through the rest of the year. Obviously, a lot of puts and takes. How to think about the impact from the international distributor agreements? And then also how to think about tariffs. When do we start to see the higher tariff inventory flowing through? And when would we potentially start to see offsets in terms of price?
Annie Mitchell: Great. Hi, Janine. Thanks for your question. Yes. There are quite a few moving parts going on in gross margin. Let's start a little bit with Q1 so you understand our starting point this year. And while our gross margin was down year-over-year, it was ahead of our expectations. The decline year-over-year is largely driven by that shift of sales internationally going from the direct model to distributors. Additionally, we have started to sunset some products in preparation for the new assortments that are coming in the back half of the year. There is a little bit of noise as well in terms of higher per unit freight in our direct business. That was then offset by a gift card breakage entry that we had that was $2 million, and it did increase our gross margin by 400 basis points in the quarter. One highlight that I wanted to make is that our lower average product COGS are coming to bear as expected from all of the great sourcing and material work that we have been doing over the past few years around our cost-saving initiatives. And so when we think about where do we go from here in terms of our overall gross margin, while we recorded the 44.8%, I am going to go ahead and have you take out, for comparison purposes, the 400 basis points associated with the gift card entry. That brings us to a gross margin of about 41% for Q1. And we do expect that we will improve sequentially each quarter. But really, where we start to see some of those better margins are in the back half of the year in Q3 and Q4. And that is because the second-half product that we are so excited about was built and designed with higher margin targets. And so we will be combining this new product coming at better margins. We are going to read the consumer. I think you asked a little bit about when do we start to feel the impact of the new tariff. There will be a very minor impact in Q2, but it really starts to show up in Q3 and Q4. And that has been contemplated in our guidance. Where we reiterated that we expect to be in the mid-forties for the full year, but again, increasing from that restated Q1 of 41% and then increasing each quarter. So we are excited about the product ahead. We will navigate the consumer. We will navigate changing tariffs. But we feel like we are well-positioned for the quarters ahead.
Janine Stichter: Okay, great. And then maybe if you could just talk about the inventory. How much mentioned buying down for, I think, fall of this year and spring of next year. How do you think about that in relation to your plan to grow revenue in Q4 and maybe speak to your flexibility if you need to chase?
Annie Mitchell: Great. So, yes, as a result of the macroeconomic outlook right now in terms of tariffs, consumer, we have chosen to be somewhat conservative in our last buys for fall holiday 2025. And the buys that we are preparing for spring summer 2026. However, we have not cut ourselves so much that it limits our ability to get to that growth. We have just been really cognizant about the way that we are buying, the timing, etcetera. So we do not expect that the reduction in purchases really hinders our ability to grow because we believe in our plan, and we are excited about the product coming to market in late summer, supported by the marketing work that we have already done. And then as we will continue to, again, watch the consumer see how things continue to shake out, we will have the opportunity to chase into spring 2026 product if needed.
Janine Stichter: Thanks so much, and best of luck.
Annie Mitchell: Thank you, Janine.
Operator: And the next question comes from Alex Straton with Morgan Stanley. Your line is open.
Alex Straton: Great. Thanks so much. I know you all gave rationale for the post-first quarter sales improvement last call, that kind of back-half weighted dynamic to the top line. But obviously, things have changed with tariffs. So can we just talk about how your view on the back revenue improvement has changed now versus three months ago? And what degree of conviction you still have there?
Joe Vernachio: Yeah. Hi. How are you? Nice to speak with you today. Yeah. We have been working on this plan now for well over a year, and we have been executing against it like a metronome. The product, the marketing, and the experience are really all coming together. In less than a hundred days from now, this will all start to come together to one point where the way we think about it is this is our starting line, not our finish line. Like, we are just getting started. And it only accelerates through the back half of this year. Yes, there is certainly uncertainty out there, and uncertainty does not necessarily lend itself well to consumer sentiment, but we are a very experienced team, and we have navigated through many of these types of situations over the years. You know, one little proof point or talking point around just how much is coming to give you a sense of it. You know, we will have only had three new products. In the 50% of our product that is delivering from July through the end of the year will be new product. And we have shown that when we deliver new product, the consumer responds. And we are getting these new products showing up in the top part of our selling ranking. And so we are just really excited and motivated by everything that is coming together. The road ahead might move and shift, but the way you get through that is with a clear plan and clear execution, and that is what we are focused on.
Alex Straton: Perfect. Maybe one more follow-up for you. Can you just can we zero in on holiday? When do you guys kinda start and finish placing those orders? Obviously, there is a lot of angst in the market around how retailers are planning just given the tariff and uncertainty around consumer demand?
Joe Vernachio: Yes. As Annie said, we have trimmed the very back half of Q4 purchase orders just to make sure, you know, if we had 10 colorways of something, maybe we go with eight. But the full flush of the expression of this product offering that we have built is still intact. And still coming through. You know, we so as far as timing goes, we are pretty much fully purchased for the back half of this year. And you know, our plans and when we look at the consumer and the trend and all of our leading indicators, it all points to points in the right direction and points towards the plan that we put in front of us. We believe that there is always the consumer always reacts to a company that knows what they are delivering, what their proposition is, what their promise is, and delivers on that relentlessly with their product and their message that there will be plenty of room for us to reach these growth expectations in the back half of the year.
Alex Straton: Great. Thanks so much. Good luck.
Joe Vernachio: Thanks.
Operator: The next question comes from Thomas Forte with Maxim Group.
Thomas Forte: Great. So first off, Joe and Annie, congrats on the quarter. I want to ask two questions, and I would note that anecdotally, I, for one, am looking forward to buying the new products. So I cannot wait to see them and buy them. Right. So first off, you recently ran what I thought was a very innovative advertising campaign, Cards on the Table. How has it all do you believe it contributed to your strong performance in the quarter? And it seems to me that one of the advantages of the effort is that it should have legs. So how should we think about its ability to contribute to sales for the remainder of 2025?
Joe Vernachio: Great. Hi, Tom. Welcome to the call. We are very excited that you have chosen to follow the stock. We really appreciate it. Welcome to the team. Yeah. We are really pleased with the results of Cards on the Table. Remember, its purpose was to get us back in the conversation, to get people talking about us again, to put us in association with people that reflect our values, and that are part of the ongoing cultural conversation out in the world. And it absolutely achieved that. You know, the numbers that we talked about earlier, you know, twenty-five million Instagram views is a real number. And that momentum is showing up in places like our subscribers on Instagram. You know, we see real tangible results of getting people into our funnel, into our view, and being able to talk to them and communicate with them. And you are right to notice that part of this plan is that that was evergreen and is evergreen content. And if you actually look at it today, its viewership is only increasing. It is not like an advertisement campaign that goes up and goes down. It is accumulating because it is good valuable content. So people are constantly coming in to view and seeing this. And what you will see when we come into the back half of the year is we will create these little threads from that. And I will not go into the detail of how we are going to do that, but it will be through people and situations where we will connect the stories and the messaging that we are going to be delivering from July through the balance of the year to that work, and that will give us the chance to re-express that work again and resurface it for people so it continues to work for us through the balance of the year.
Thomas Forte: Great. Thank you, Joe. And I am very impressed with your multiyear turnaround effort in the metronome, I think, the term you used. Alright. So for my follow-up question, thanks for the update on your new store prototype at San Francisco and plans to roll it out in Soho and Stanford. Can you explain how the new store prototype better positions you to drive sales for your next-generation products?
Joe Vernachio: Yeah. Love to. Stores are near and dear to my heart. So I will give you a simple example. Just making the store feel warmer and more inviting through very, very simple tactics. So first of all, we had a in our current store format, we have a single footwear wall where many of the shoes are you cannot take them off the wall. They are on last. Affixed to the wall. It is very difficult to shop a shoe that you cannot pick up and look at the toe down and look at the stance of the shoe in different orientations. So we have changed the entire fleet already to pegs where you can just sit the shoe on top, a shoe shelf where the consumer can take it off and interact with the shoe. That is a very simple example of one of the things that we have done across the fleet. Then specifically, within the prototype, now we have added at least three to five, depending on the size of the store, additional touchdown spaces. Where we can tell additional stories like a travel story or a color story or a material story. And we are really seeing a significant increase in interaction with those, people picking up shoes, understanding the story, and most importantly, our daily sales in the Hayes Valley store have increased noticeably. To the point that we have then rolled it out. So we just did Stanford yesterday. We just saw the first pictures today. I am going down on Saturday to go view it myself to see how it looks and feels. And we will be doing SOHO on the twentieth, I believe, of this month. And then once we get the proof points out of those, we will be looking to see where else in the fleet should we go. Should we do a smaller store? Or a bigger mall store or a bigger street store? We specifically picked those three so that we could get really good tests on it. And I think the most important thing is that it is not a very expensive facelift. It is very economical but gets a really big powerful financial lift for the stores.
Thomas Forte: Great. Thank you, Joe. I appreciate all that. Thanks.
Joe Vernachio: Yeah. You bet.
Operator: As a reminder, to ask a question, please press question comes from Dylan Carden with William Blair. Your line is open.
Dylan Carden: I am just curious how you or sort of how you would contextualize the cadence of the quarter sort of improving there in March? If that coincides with a certain amount of marketing or new product. And you have sort of spoken to it several points on the call, kind of encouragement with new product. And I guess, you know, part of that is obviously sort of what you have flown in already. I just want to know if you could elaborate on that. And then part of that question also touches on just the marketing spend being relatively elevated. I am just curious kind of what you are spending into. If you are spending into a higher level of back-half sales, or when that ratio might kind of tamp down a bit. Thanks.
Annie Mitchell: So, yes, we have had quite the interesting start to 2025. Like many others, it was a slow start to the year in January and February. And then we saw quite a bit of momentum in March. We believe this is both macro, because we have heard from other folks, compounded then by the result of our Cards on the Table investment. And so we were really pleased to see how the trends picked up in March. Of course, then in early April, when the consumer got quite distracted with macro headlines, we have seen some choppiness. Similar to what others have reported. But really, when we think about it and we look forward to the rest of the year, it sounds like everybody across multiple industries is seeing the change in the consumer. But what we do know and what we believe is that there is appetite for a brand with authenticity and message. And we believe that our marketing and product places us in a competitive position. Which is why we are really excited about what we have done so far, the investments that we are making in marketing, the initial results from it, and how it is setting us up for success. In terms of a little bit of nuance with Q2, we do expect that our marketing spend in the quarter will be down slightly year-over-year. But that is really more about last year. You might recall that in Q2 of 2024 is when we had a meaningful launch with the Tree Runner Go. That was a high-volume launch supported with quite a bit of marketing. So we do expect year-over-year marketing spend to be down, but it is still overall. We are continuing to invest in the brand, and we will for the rest of the year. And so I will just turn it over to Joe to talk a little more about kind of the color on top of those financials.
Joe Vernachio: Yeah. So you were asking about the new products that we brought in for the quarter. There were two products, the Canvas Piper and then the utility product. And the nice the interesting part about that is it is kind of at both ends of our pricing spectrum. So from $80 to $120, and both of them performed really well. And that is our sweet spot, and you know, having only two products to really lean into and have them shoot up into the top five of our selling ranking is just a really good proof point that people are just waiting for us to deliver all of this new product, and it is just very encouraging and promising. And yeah, the team is excited, and again, I say we are less than a hundred days away. We actually have a little countdown calendar in our office that we look to, and everybody is focused on getting the back half of this year back to growth.
Dylan Carden: Awesome. To the extent that you can measure it, is this a new customer? Are you kind of reengaging existing customers? I am sure it is a bit of both, but is anyone particularly skewed one way or the other?
Joe Vernachio: Yeah. No. It is exactly right. It is a little bit of both. We are finding lapsed customers starting to come back when we show them the new products. Our performance marketing is getting a lot sharper and a lot more focused, so we can customize it a little bit better so we can serve up the right products to them. Yeah. It is all moving in the right direction. There is not any leading indicator that is at all concerning to us right now. It is all moving in the right direction. Yes. We see the macro, and we read the things that everybody else reads. But right now, inside of our business, everything we read gives us confidence that we are on the right track.
Dylan Carden: Sounds good. Thank you very much for the time.
Operator: I show no further questions at this time. I would now like to turn the call back over to Joe for closing remarks.
Joe Vernachio: Thanks, everybody. We appreciate you being on today, and we look forward to talking to you next quarter. And we look forward to the next phase in our brand. It is the starting line, not the finish line.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.